Operator: Good day and welcome to Cogeco Inc. and Cogeco Communications Inc. Q2 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Thank you. So good morning, everybody, and welcome to this second quarter conference call. As usual, before we begin the call, I'd like to remind listeners that the call is subject to forward-looking statements which can be found in the press releases issued yesterday. Now I would like to start by welcoming and congratulating Frederic Perron, who took over the role as President and CEO of Cogeco on March 11th. I've had the pleasure of working closely with Fred while he was leading our Canadian operations in telecommunications and he certainly did a tremendous job transforming the business to set it up for the future. So Fred, welcome and I will let you now take over the call with your opening remarks.
Frederic Perron: Thank you, Patrice, for the kind words, and good morning, and thank you, everyone, for joining us for our Q2 2024 results. For those of you who may not know me, as Patrice mentioned, I've led Cogeco Connexions for the past 3.5 years, having previously worked at other telecom operators in several countries. The North American industry is ongoing several changes at the moment, which is something I've also experienced while working in Europe. Though it's still a bit early after five weeks into the job to lay out all of our plans for the coming years and for fiscal 2025 more specifically, I can already say that shareholder value creation will be at the forefront of our strategy and culture as we set our future course of action. In my first months in the job, I'm taking time to review all aspects of our operations to identify areas where we can increase our performance. I'm truly excited about that opportunity. Our plans will certainly include a strong focus on driving profitable growth through an acceleration of digitization across our enterprise as well as synergies across our various units. Of course, we will also grow our recently announced American wireless business and will continue to pursue our capital light entry into the Canadian wireless market. With that said, let's get right into our Q2 results. Our second quarter consolidated results were in line with our expectations as we focused on balancing subscriber growth with financial performance, while remaining disciplined with our cost structure. Cogeco Connexion, our Canadian telecommunications business, delivered another quarter of strong Internet subscriber additions, driven by gains across our legacy and network expansion areas and under our oxio brand in and out of footprint. Oxio is becoming an increasingly important growth driver for the company and its digital sales, service and IT platform enables a lower cost structure for the corporation, which will also benefit the company more broadly over time. Additionally, we announced the tuck-in acquisition of the Niagara Regional Broadband Network or NRBN in Q2, which is a fully fiberized network, expanding our B2B presence and access to municipalities, universities, schools and hospitals in the region. In the United States, our customer attraction, retention efforts and service enhancements over the past several quarters have contributed to higher customer satisfaction scores and positive media commentary. Our Ohio operations have also benefited from customers increasingly taking higher speed Internet offerings, driving higher revenue per customer and expanding adjusted EBITDA margins, while offsetting customer losses at lower price points. In both Canada and the US, we continue to see the financial benefits from our fiber-to-the home network expansion programs that contributed to new Internet subscribers in both markets. In Q2, we added close to 19,000 homes passed, bringing our total to 200 and 28,000 homes passed since the beginning of fiscal '22, representing nearly 8% organic growth in our network. We're now largely done with the Quebec expansion and are busy building in Ontario. Additionally, we look forward to the BEAD funding program in the US, which will provide subsidies to extend networks in underserved and unserved areas. In terms of mobile developments, we were pleased to announce that Breezeline Mobile will launch this spring with a progressive rollout in the states that we serve. This pure MVNO wireless service will provide our customers access to reliable, competitively priced and flexible mobile data packages. Not only will the upcoming launch of this service improve our bundling offering, it will also increase our addressable market, strengthen our product mix and improve existing customer retention and satisfaction, all the while being capital efficient and accretive to our business in due course. In Canada, we're continuing our MVNO access negotiations. We cannot provide further details on these negotiations at this time, but we can say, however, that we look forward to providing our Canadian customers with wireless options. At Cogeco Media, advertising sales continued their momentum again this quarter. We're also making progress with our new digital solutions and multiplatform audio content, which open up new revenue streams. I will now review our operational segment results. Let's start with our Canadian operations. As mentioned earlier, we continue to expand our network to more homes in new areas in both Quebec and Ontario. We added 14,600 homes passed in Q2 and a total of nearly 119,000 homes passed since the beginning of fiscal '22, most of which is part of government subsidy programs. Our Canadian team maintained a solid track record in Q2 by growing its Internet customer base by 8,900 across our traditional markets, network expansion areas and under our digital oxio brands in and out of our wireline footprint. It is the fifth consecutive quarter that we report strong Internet customer growth in Canada. Moving on to our US operations. We continued our fiber network expansion program during the quarter with 4,000 new homes passed and 109,000 homes passed since the beginning of fiscal '22. As noted at our prior quarter, we're continuing to see an improving product mix of higher margin services and customer tenure, driven by a greater proportion of new connections taking faster Internet speeds. This has resulted in a higher average revenue per unit and an increased customer lifetime value. As always, we remain focused on achieving cost efficiencies and implementing product improvements. In Ohio, we've significantly increased our network capacity and have proactively swapped video equipment to our IPTV solution. These efforts, in addition to brand awareness and customer service improvements are gaining traction with our customers as evidenced by our rising customer satisfaction levels and the types of those services taken by our customers. Though more work remains to be done, we remain committed to eventually reach positive Ohio Internet subscriber numbers. With regards to the US Affordable Connectivity Program, or ACP, which provides a $30 monthly credit to eligible US residents, this program is expected to be defunded over the coming weeks. It is, however, worth noting that Breezeline has considerably less exposure to ACP than the industry average with under 4% of its Internet subscriber base under ACP, and that percentage is much lower when expressed as a percentage of revenue. Also, since most of our customers under ACP take more than the entry level service, there are several opportunities available to mitigate the impact and we have plans to address it. That being said, we could see some negative PSU movements from lower ARPU subscribers leading this program in the next two quarters. For Cogeco Media, we recorded another quarter of the year-over-year growth in revenue with advertising sales modestly rebounding in our digital solutions, social media formats and revamped studio facilities now providing meaningful contributions to revenue growth. Now let me turn the call over to Patrice, who will provide more details on our financial performance for the quarter. Patrice, over to you.
Patrice Ouimet: Thank you, Frederic. So in Canada, Cogeco Connexion's revenue increased by 1. 4% resulting mainly from the oxio acquisition and a higher Internet service customer base. Adjusted EBITDA increased by 0.3% in constant currency as revenue growth was partially offset by higher sales and other operating expenses to drive support -- and support customer growth. In the US, Breezeline's revenue decreased by 2.8% in constant currency, mainly driven by lower video subscriptions and lower customer base over the past year, partially offset by higher revenue per customer and a better product mix. Adjusted EBITDA increased by 0.5% driven by a higher gross margin reflecting more Internet within the revenue mix as well as the impact of cost reduction initiatives. Turning to the consolidated numbers for Cogeco Communications. At the consolidated level, revenue declined by 0.7% in constant currency while EBITDA declined by 1%. Although EBITDA in both our Canadian and US businesses slightly increased in the quarter, the decline in the consolidated EBITDA was due to an increase in certain corporate costs, including those related to our plan to offer mobile services in Canada. Diluted earnings per share increased by 0.5% reflecting the benefit of fewer shares outstanding due to the buyback we made in December. Capital intensity was 23.4% compared to 21.2% last year, mainly from higher CapEx spending in Canada. Excluding network expansion projects, capital intensity was 20% in the quarter. Free cash flow in constant currency declined 15. 4% largely due to a mix of higher CapEx and financial expenses. Excluding network expansion projects, free cash flow decreased by 22.5%. Our net debt to EBITDA ratio was 3.5 turns in the quarter, which is 0.1 turn higher than the prior quarter. This is primarily due to additional funds drawn in relation to the December share buyback. The initial payment for the 38 megahertz spectrum purchase and the acquisition of NRBN that Fred referred to. We continue to target a net debt to EBITDA ratio in the low three times over time. And finally, we've declared a dividend of $0.854 per share in the quarter. At Cogeco Inc., revenue in constant currency declined by 0.6% and EBITDA by 1% as a result of Cogeco Communications performance. Media operations revenue increased by 4.2% due to strong listener engagement across many other stations and positive contributions from digital advertising. Diluted earnings per share increased 7% driven by a lower share count resulting from the December share repurchase in Cogeco Inc. And dividend of $0.854 per share was declared for the quarter. Now let's look at Cogeco Communications financial guidelines for fiscal year 2024 which we first provided to investors in early November. With Q2 results in line with our expectations, we are maintaining our annual guidelines. Our assumptions remain the same as outlined on our last call. As it relates to Q3, we currently expect consolidated revenue to increase in the low single-digit in constant currency and adjusted EBITDA to be similar to last year's results. Capital intensity is anticipated to be approximately one percentage point above the Q3 results of last year. At Cogeco Connexion and Breezeline, in Q3, we expect both revenue and adjusted EBITDA to be in the low single-digit growth compared to last year. Below the EBITDA line at the consolidated level, we expect acquisition, integration, restructuring and other costs to be a few million higher than what we recorded in Q3 of last year and financial expense to be in line with Q2 of this year. In terms of CapEx, we expect Q3 to be in line with the CapEx spend on Q2 of this year, which reflects ongoing strategic growth investments including network expansions and our mobility preparations. With the issuance of $275 million in senior unsecured notes during the quarter, we extended our debt weighted average term to maturity to 5.2 years. And finally, we continue to anticipate that Cogeco Communications dividend will represent a payout of 39% of free cash flow for the year at the midpoint of the guidelines or 27% when excluding network expansions. At Cogeco Inc., we have issued the same financial guidelines as Cogeco Communications and are maintaining such guidelines. And now Frederic and I will be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Maher Yaghi with Scotiabank. Please go ahead.
Maher Yaghi: Congratulation, Fred, on the new appointment. It's been four years to the day, I think, since our first discussion. I wanted to maybe just ask you since you joined, what, you know, as you saw the market change in Canada when it comes to broadband, what are the initiatives that you think Cogeco should continue to do to continue to grow its market share? We've seen you guys oxio has been quite successful since you acquired it. You've been adding quite a bit of customers even out of home. Are you do you have any plans to expand the offering across Canada or keep it within, let's say, Ontario and Quebec? And the push that you want to make, is it going to be restricted to Eastern Canada or think about expanding it nationally?
Frederic Perron: Yes. Hi, Maher. Good to hear your voice and thanks for the kind words. You know, Maher, the Canadian market has been competitive for quite some time now, especially on the Quebec side and this quarter was no different. Now our growth in PSUs and market share is relatively diversified. So it comes from four main sources and that diversification in our PSU growth is what sustained our growth for the past five consecutive quarter now. So it comes from essentially, as I said, four main areas. It comes from our legacy footprint, where we're gaining a little bit. It comes from network expansion programs, which are subsidized and on fiber. And it comes from oxio both in our footprint and outside of our footprint. And that's, as I said, what's driven our growth for the past five quarters and that's how we intend to continue.
Maher Yaghi: Can I ask you maybe just a follow-up on that? When you look at the Canadian business, which you have been very involved in, what are your medium term expectations when it comes to the business as you see more and more bundled product offerings in the marketplace and pricing pressure with some of the key competitors offering fiber-to-the home, how should we think about that business when it comes to its projected medium term growth rate?
Frederic Perron: Yes, Maher, in both cases, I think you're alluding in your question to both bundling with wireless as well as the development of fiber buyback competition. These are two trends that we've been dealing with successfully for quite some time. What we're seeing now is, of course, prices have been under pressure, but again, it's not a new phenomenon for us. There have been green shoots in some pockets possibly seeing the floor on prices in the quarter, but still a little bit too early to tell. As it relates to the projection, I guess, Patrice, I don't know if you want to comment, but perhaps when we give guidance for next year, it would be the best time to do it.
Patrice Ouimet: Yes. And Maher, as you know, the Canadian business has been growing in a low single-digit fashion in past years. This year is no different, probably a little lower than from what we've presented versus a couple of years ago. But I would say it's still in the same range. And for the future, stay tuned, I guess, as we talk more about the future here. Later on this year, we'll be able to talk more about it.
Maher Yaghi: Okay, great. And one last question on the US business with the ACP program coming funding coming out with no funding coming up after April. Some of the companies in the US like AT&T indicated that they will continue to offer the low priced products in the marketplace to support customers and in a way also to protect the downside in terms subscriber losses. What is have you guys indicated what your plans are for that program product offering? Are you going to continue to support it or just absorb the subscriber losses if customers can't afford it anymore?
Patrice Ouimet: Yes. So we have a plan in place, Maher. And basically so the majority of our customers actually subscribe to more than just the $30 plan. So there's some we have a plan there basically if people want to change types of plans that they have. And we have some offers that will be in place as well for those who are just at the entry level package of $30 basically cost nothing because the government pays for it. We'll have alternative for this as well. So I don't think we're very different from what you have explained and the idea will be to minimize the impact of it. The revenue piece we're getting today is quite small from this, given the fact that customers some customers will take video or faster speeds as well.
Maher Yaghi: Okay, great.
Patrice Ouimet: Thank you.
Operator: Your next question comes from Matthew Griffiths with Bank of America. Please go ahead.
Matthew Griffiths: All right. Thank you for taking the question. I just wanted to follow-up on kind of your view on the competitive and intensity of the market. And I heard you on price, but I was wondering if this increases your focus on looking for ways to control costs and bring them down and whether we should be kind of staying tuned for more work to be announced kind of on that front? And then maybe, just a follow-up to the ACP question. My understanding is the presence or absence of ACP, has an influence on the bidding that is going to happen for the BEAD program. It can influence projections of penetration and how much customers are going to take up the product, if a subsidy program is in there for consumers. And so I was wondering how the defunding of ACP is altering your approach to BEAD bidding as you prepare for that? Thanks.
Patrice Ouimet: Okay. So I'll start with the second question on ACP. If you look even at how we're operating today, the ACP program customers under the ACP program are quite a small portion of our customer base and as a revenue it's very small. So when we look at BEAD, obviously, we take different factors into account to look at penetration and the pricing we are planning to get in these areas. So that plays into it, but I would not say that's something that we expect to be large. Just to be sure, basically the BEAD program provides funds to go in areas where there is no high speed internet today and that's really the only reliable alternative to get there. So if a portion of the population would normally rely on ACP to subscribe, well, that would not be there. But I would say it should normally be quite small in the when you look at the equation.
Frederic Perron: And on the first part of your question, Matthew, it's Fred. I'm a big believer in digitization and advanced analytics to both improve revenue and reduce costs. Some of those efforts have already started. So we're deploying more and more self-serve capabilities for our customers and now we have work underway to accelerate our use of AI in some of those capabilities using the same platform by the way across both countries, which leads me to also talk about harmonization of technologies across the two sides of the border, which also represents an opportunity for us. So stay tuned. More to come on that over the coming quarters.
Matthew Griffiths: Okay, perfect. And maybe just a quick follow-up. Now that the US launch of wireless has taken place, what sort of reporting will investors get on that kind of emerging part of your business?
Patrice Ouimet: Yes. So in terms of the financial metrics, we will see over time, but obviously this will start small this year. So you should not see any separate reporting on this and over time we will determine how to do this. I would say most companies in the industry include the results together. And in terms of PSUs typically we would report this separately. Again it's going to be quite small this year as we are just getting started. So probably more appropriate for the next year. So we can talk more about this later.
Matthew Griffiths: All right. Perfect. Thank you so much.
Operator: Your next question comes from Stephanie Price with CIBC. Please go ahead.
Stephanie Price: Good morning. Congrats Fred on the appointment.
Frederic Perron: Thank you.
Stephanie Price: I was hoping you could dig a little bit more into the US Internet net adds. Obviously, you saw sequential improvement in the quarter, especially in the Ohio market. Can you talk a little bit about what you're seeing in terms of competitive intensity and just the improvement in subscriber losses in the quarter?
Frederic Perron: Yes. Stephanie, it's Fred. I'll take that one. For the US, it's important to separate the story in Ohio with the rest of our footprint. In Ohio, our footprint, it was always, it's been a competitive market for quite some time and our focus has been on really strengthening our operations and strengthening our brand perception in that market because we came in with a new brand and we're making good progress on that. We've really improved our network capacity. We've deployed IPTV solutions and we're improving our sales and marketing blocking and tackling as well. And that's the driver of some of the sequential improvements that you see in Ohio. As it relates to the rest of the footprint, it remains a competitive market with FWA, of course, being a big driver of the competition. FWA, we're seeing early signs of possible easing off, but it's still a little early to call and that's one that we're keeping our eyes on.
Stephanie Price: Thanks for the color. And then just in terms of the Canadian market. I was hoping you can talk a little bit more about the acquisition of Niagara Regional Broadband Network and maybe more broadly how you're thinking about M&A opportunities at this point. As Patrice noted, your leverage is a little bit above kind of the target range here. How do you kind of think about tuck-ins and maybe even larger M&A deals at this point?
Frederic Perron: Yes. I'll answer more broadly about M&A, and this is one topic that obviously we've been talking about. And I can really reiterate what Patrice has said publicly on this topic, which is large acquisitions are unlikely for the reasons that you've mentioned. Small tuck-ins can always happen if they make strategic sense for us. And then as it relates to divestitures, we are open to pruning some of our assets, but I think no commitments were made on that front. This company has done divestitures in the past, maybe not the recent past, but that's something we're always open to look at.
Stephanie Price: Great. Thank you for the color.
Frederic Perron: Thank you.
Operator: Your next question comes from Vince Valentini with TD Cowen. Please go ahead.
Vince Valentini: Thanks. I had another question, but the Niagara Broadband, I'm not sure you fully answered it. Can you flush out sort of what the impact will be in future quarters and revenue and EBITDA and how it fits?
Patrice Ouimet: Yes. So and one of the reasons we bought it as well is we never control obviously the timing of when companies are put for sale and this one was right in the area where we have our traditional footprint and we were very excited to be able to add that to it's really more geared towards the commercial business and they have developed a smaller footprint in fiber-to-the-home residential network as well. Yes, in terms of let me just get back to you a bit later on in this call on what we're talking about, but it's not major because it was not a large acquisition on what it will mean for the next few quarters.
Vince Valentini: Maybe that's a segue to Patrice or Fred. And, hello, Fred. Nice to meet you virtually. The B2B in total, can you level set us, we haven't talked about for a while where that's at as a percentage of revenue and EBITDA. And is that segment actually growing within the total revenues we see? And if you want to break that down between Canada and the US, feel free.
Frederic Perron: Yes. In the B2B segment, Vince, we operate mostly on the small end of that market. Given our regional footprint and the asset efficiency that we're looking for, it didn't make much sense for us to go in the larger segments. We do have a couple of deals here and there, but our focus is mostly on the small segment. In terms of revenue growth, I can say for Canada that the B2B segment is growing just slightly faster than the consumer segment. As a percentage of our total revenue, I don't know if this is something we disclosed. So look at Patrice for that.
Patrice Ouimet: Yes. So we're we -- actually we have a note on this. So it's between the two countries, between 10% and 12%. We can point you to the exact information if you want after this call.
Vince Valentini: Thank you. And the question I was going to ask initially was just CapEx. Apologies if you already covered this, but your CapEx seems to be trending a bit below the full year guidance and you've now I think you just said third quarter CapEx will be similar to the second quarter. Do you catch up in the Q4 or is that $700 million to $775 million guidance a bit too high now?
Patrice Ouimet: We're probably going to land at the low end of that range as opposed to being when we started being at the middle. Obviously, CapEx is always something we try to optimize during the year, but obviously, it's a bit spotty on a quarterly basis and because of the seasons as well some construction especially in Canada happens does not happen in the winter. So there's a bit of that going on, but I would say, yes, we're probably going to be more at the lower end. And to your previous question on revenue, so it's not that meaningful, but on a full year basis, NRBN will add about 1% to the revenue of CCX, so not that impactful.
Vince Valentini: Thank you.
Patrice Ouimet: Thank you.
Operator: Your next question comes from Jerome Dubreuil with Desjardins. Please go ahead.
Jerome Dubreuil: [Foreign Language] Thanks for taking my questions. Frederic, congrats on the appointment as well. First question is on wireless in the US. Since you announced the officially announced the launch there. Looking at some of the US peers that have launched similar service, it's not easy to turn a profit there. Can you maybe talk about the advantages you might have that could help you turn a profit on wireless in the US going forward?
Frederic Perron: [Foreign Language] I'll answer the question about wireless. So just to give you a little bit more color on where we're at on this one. We've completed the friendly user trial and we're now in soft launch in one of our states that we operate in with scaling up throughout the rest of this month and then a relatively rapid scaling in the other states after that. We're focused mostly on our existing customers. So the customer needs to be either an existing wireline customer or to become one at the same time as they buy wireless. To your question about economics, the main value of the wireless product will be on the wireline business. So it's going to be a churn reduction, customer satisfaction on the wireline business as well as broadening our eligible pool of new customers who are looking for a bundled offer who we did not serve in the past. As a standalone business, we expect wireless to become accretive in the medium to long term.
Jerome Dubreuil: Okay. Thank you. Second question is in terms of price increases potential. We're seeing quite elevated competition in Canada and the US. If you can maybe discuss what if there has been recent price increases and if you think you have the capacity to implement some of those in the medium term?
Patrice Ouimet: Hi, Jerome. Yes, so we obviously we want to pace price increases to make sure obviously our customers get value for the goods we're offering. We did have price increases in the two countries in March, not necessarily a large one, but those are the latest ones. So you're going to see this appearing in the next quarter.
Jerome Dubreuil: [Foreign Language]
Operator: [Operator Instructions] Your next question comes from Tim Casey with BMO. Please go ahead.
Tim Casey: Yes, thanks. Good morning. I just wanted to talk about your broader initiatives across in Canada and across the footprint in the context of I've noticed you've been doing some television advertising. I don't recall the Cogeco brand being advertised, on a mass media like that before. And I'm just wondering if we should read anything into that in terms of your expectations of new products like Rogers' Fixed Wireless coming in your footprint and back to earlier questions about what you want to do with the brand and potentially expanding out of market and obviously eventually a wireless offering. Can you just talk about how you're approaching the brand broadly and if we should read anything into your media spend? Thank you.
Frederic Perron: Hi, Tim. I wouldn't read too much in the media spend. In fact, television advertising is something that's not new for us. It's something that we've been doing from time to time. And so I wouldn't read too much into it. It would be the short answer on this. And part of your question was about Rogers' Fixed Wireless access. It's not, Tim, having a visible impact on our results so far.
Tim Casey: Okay. But what about plans to expand your offers out of footprint on your various brands? Anything you want to talk about there?
Frederic Perron: Nothing new there either. Our main out of footprint product is oxio out of footprint, which by the way we're also leveraging in footprint. And I wouldn't plan any major changes on that front.
Tim Casey: Thank you.
Operator: Your next question comes from Aravinda Galappatthige with Canaccord. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my question. Just wanted to focus on Breezeline. I think, Patrice, you guided to low single-digit EBITDA growth there. Is that does that include any sort of incremental launch cost with respect to wireless? And maybe can you just talk to sort of that incremental piece? I know you gave a number earlier in the year what that was going to be, but is that sort of more backend loaded as opposed to with respect to fiscal '24?
Patrice Ouimet: We had time from the start to have some investments to launch the mobile product in the US. And we knew it would not be initially in the year. So I would say this is according to the initial plan when we first issued guidance. We set up a small team to do this. Obviously, then there's a bit of marketing. But because we're targeting primarily our customers or the footprint where we operate where we're already doing marketing, it's not that meaningful. So I would say there is a bit more in Q3 and Q4 than initially, but it's really not something that would be visible.
Aravinda Galappatthige: Okay. Thank you. And then to the extent that you can comment sort of the Canadian MVNO endeavour. Is that really about sort of more the process with respect to the MNOs and the regulator? Or is there a little bit more work that you have to do on your end as well? I mean, is that what's impacting the timeline there?
Patrice Ouimet: Yes. So basically where we are right now is still in negotiations. As you know, the process requires a number of negotiations with various parties and we are still in this process and at the same time building the what's required to be able to launch as well. So I would say the situation is not that different from what I said last quarter. That being said, we are making progress. It's just more difficult to go with more precision on publicly because obviously these discussions are going on privately, but it's progressing.
Aravinda Galappatthige: Okay. Thank you very much.
Patrice Ouimet: Thank you.
Operator: There are no further questions at this time. Please proceed.
Patrice Ouimet: Okay. Well, thank you, everyone, and feel free to call us if you have other questions. Otherwise, we will see you for the next quarter in Q3. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.